Operator: Good morning. Welcome to GameStop Corporation's 2009 quarter four and year-end earnings conference call. Today's call is being recorded. At the conclusion of the announcement, a question-and-answer session will be conducted electronically. (Operator Instructions). I would like to remind you that this call is covered by the Safe Harbor disclosure contained in GameStop's public documents and is a property of GameStop. It is not for rebroadcast or use by any other party without the prior written consent of GameStop. At this time, I would like to turn the call over to Mr. Dan DeMatteo, Chief Executive Officer of GameStop Corporation. Please go ahead, sir.
Dan DeMatteo: Good morning, and thank you for attending today's GameStop conference call. With me today are Paul Raines, our Chief Operating Officer; Tony Bartel, our EVP of Merchandising & Marketing; Mike Mauler, our EVP of International; and Rob Lloyd, our Senior VP of Accounting and acting CFO. As we reported today, January finished strong, and earnings came in at the high end of the range, due to better-than-anticipated software sales. As a matter of fact, we gained significant share in both January and February, as our new software grew single digits compared to double-digit declines for the industry; and we had a record month in February, when we sold almost 50% of the new title releases. We attribute this market share increase to the model we have developed, which continues to resonate with the value-conscious consumer. Rob will give you more details on the 2009 financial wrap-up. And just as an aside about the industry in 2009, as reported, video game sales declined 9.7% from the prior year, but if you back out the music genre out of both years, sales were flat with 2008, the highest record software year ever. We expect to see growth in both new and used software in 2010, and used continued gaining market share. Our first quarter should be positive over last year, with releases like Final Fantasy XIII, Heavy Rain, and many others. Paul will give you more color on this quarter and prognosis for the future. Based on this release schedule, we forecast earnings growth between 14% and 18% for the year; and Rob will go over the financial details for 2010. Now, I would like to address some concerns that have been raised while we were in our quiet period. The resignation of our CFO will have no impact on the company. She left for another opportunity. There is nothing wrong with our books or our future outlook. Rob Lloyd has been with us 14 years and is well qualified to act in this role. Next, Redbox is testing video game rentals in some markets. Video game rental has always been a channel of distribution in the industry, and I see it as a shift from rental stores to machines if they are successful and no impact on our sales. There seems to be concern over our used model. The recent promotion we have been given consumers, and incremental 50% for trades is in line with other promotions we have done in the past to drive trades post-holiday, when we are low on inventory. Used USA inventory was down 2% on a per-store basis before we began this offer, and now it is up. We don't expect it to have a meaningful impact on margin rate in Q1. As an aside, it has worked extremely well, and because of our external marketing of the offer, we are seeing consumers trade with us that never had before. The competition in this used space has diminished, with the removal of the trade machines in Best Buy and Wal-Mart, and the closure of many Game Crazy stores, which is part of Hollywood. And as we discussed last quarter, our margin rates will be impacted by a mix, as less mature companies countries ramp up their used game penetration. Rob will discuss this in more detail. We have been asked why we are continuing to add more stores. First, we see many opportunity to add stores in markets where we have no presence. In all but some rare circumstances, we opened stores to take share from our competitors and not cannibalize our stores. This is translated to a continuous market share growth, and the returns on these stores are fantastic, and they continue to overachieve our financial model. Paul will give you more on this model. Now, I would like to switch and discuss some strategies that we unveiled last fall at the BMO Conference. Beginning later this quarter, we will be testing the marketing of downloadable add-on content and its acquisition right in the retail store. This project has been worked on with our internal IT team and Microsoft. We have great expectations for our ability to drive sales of downloadable add-on content for the industry, and see it as a meaningful way to participate in digital sales. In May, we will be testing a new loyalty program that is designed to increase our share of boxed product sales, increase our knowledge of our customers' purchasing preferences, and allow us to better serve and recommend products to our consumers today and in the future. And last year, we announced the acquisition of a browser game publisher, Jolt. Beginning this month, you will see marketing in our stores to drive traffic to their game, Legends of Zork. We see this test as another meaningful way we can participate in the growing browser game category, and we will use key learnings from the test to drive traffic to other publisher's browser games. With that, I will turn it over to Rob for a more detailed financial review.
Rob Lloyd: Thank you, Dan. Good morning, everyone. Today, I will begin with a recap of our fourth quarter and fiscal 2009 year-end results; and then I will provide our initial outlook for the first quarter and fiscal 2010. Total sales increased 0.9% to $3.52 billion. Net earnings were $215.9 million, and diluted earnings per share for the quarter were $1.29, which was at the high end of the revised guidance of $1.25 to $1.29 per share communicated on January 7. Comparable store sales declined 7.9%, the result of hardware price cuts, but better than our revised guidance, due to solid sell-through of titles released in January. During the quarter, new software sales increased 5.2%, primarily on the strength of Call of Duty Modern Warfare 2, and the strong sales of titles released in January, including Mass Effect 2, Army of Two The 40th Day, Darksiders, and MAG. GameStop's fourth quarter new software market share was 140 basis points higher than Q4 2008. Used product sales increased 8.8%, as budget-conscious customers continued to utilize our buy-sell-trade model. New hardware sales declined 9.2% during the fourth quarter, largely due to the hardware price cuts, as well as shortages on the Sony PS3 and Nintendo Wii. Gross margins improved to 80 basis points, as our product mix shifted from low-margin hardware sales to higher margin new and used software sales. The used software margin rate was flat, as margin improvements in the U.S., due to once-a-year promotion during the quarter, were offset by lower margin European used sales, which were a greater percentage of the company's total used sales. Looking at select financials for full year 2009, total sales increased 3.1% to $9.08 billion, while comparable store sales decreased 7.9%. Net earnings were $377.3 million, and diluted earnings per share were $2.25, including debt retirement costs of $0.02 per share. Gross margins improved to 100 basis points, as our product mix shifted from lower margin hardware sales to higher margin used software sales. SG&A expenses on a per-store basis increased to 150 basis points, driven primarily by deleveraging fixed costs due to the negative same-store sales. Moving to the balance sheet, we ended 2009 with a strong balance sheet, having over $905 million in cash. Total company inventory levels decreased 5.8% on a per-store basis year over year, and in the U.S., our average inventory per store is approximately $20,000 lower than at the start of fiscal 2009. This change is due to inventory management efforts in the light of lower-than-expected sales. We have heard concern about a possible buildup in used inventory. In 2009, company used sales increased 18%, while used inventory per store increased only 13%. In addition, there is some concern about the price we pay for our used games. In 2009, GameStop paid an average price of $7.61 for a used game, so you can see that they have a very low cost basis. Now, regarding cash flow, GameStop delivered net cash flow of $327 million in 2009. As you may recall, in January, we announced our $300 million share repurchase program as part of our 2010 capital allocation plan. As of today, GameStop has purchased 12,642,200 shares at an average price of $19.56 or $247 million worth of stock. GameStop is committed to returning excess cash to shareholders going forward, assuming the company continues to generate cash at current levels. 2009 capital expenditures totaled $164 million, a year-over-year decrease of 11%, mainly from opening fewer stores worldwide, as we opened 388 stores compared to 674 in 2008. Net-net, we ended the year with 98 additional stores in the U.S., and 145 internationally. 2010's financial outlook, we are confident in our ability to deliver a year of top and bottom line growth. Full year 2010 revenues are projected to grow between 4% and 6%, with comparable store sales ranging from flat to plus 2%. As a reminder, hardware price points are significantly lower than at this time last year. The Wii is priced 20% less, and the PS3 is 25% less. This will put significant pressure on our comparable store sales number, until we anniversary these price cuts. We expect the U.S. software market to be flat to up 2%. Earnings per share for the full year are projected to range from $2.58 to $2.68, representing an EPS growth rate of 14% to 18% based on 2009's EPS of $2.27, which excludes the debt retirement costs. Operating margins are expected to improve 10 basis points to 20 basis points, as we gain 50 basis points of margin improvements, offset by increases in SG&A expenses to support our strategic initiatives in digital and loyalty. We expect used margin rates for the year to be in a range of 46% to 49%. As the growing immature European used business continues to contribute a greater share of our overall sales mix, the company used margin rate will be impacted. Our efforts to roll out best practices internationally in used inventory and margin management will continue through 2010. The 2010 effective tax rate is expected to be between 36% and 37%; depreciation should range from $171 million to $174 million; and net interest expense should range from $39 million to $41 million. Our 2010 $217 million capital expenditure budget calls for 400 new store openings, improvements to existing stores in order to improve the customer experience, information system support, refurbishment upgrades, distribution expansion, and digital and loyalty program development and enhancements. We expect to end fiscal 2010 with approximately $900 million in cash, and expect to generate approximately $600 million in cash flow from operations. For the first quarter of fiscal 2010, GameStop expects first quarter comparable store sales to range from negative 3% to flat. Diluted earnings per share are expected to range from $0.46 to $0.48, a 7% to 12% increase compared to $0.43 excluding debt retirement costs in the prior year quarter. This forecasted growth comes on top of last year's record first quarter net earnings of $70 million. Over the first six weeks of the first quarter of 2010, we have been excited by the strength of new releases in BioShock 2, Dante's Inferno, Heavy Rain, Final Fantasy XIII, and Pokemon HeartGold and SoulSilver, as well as the performance of our used business. We are still being challenged by Wii and PlayStation 3 hardware shortages. Now, I will turn it over to Paul for his comments.
Paul Raines: Thanks, Rob. I would now like to add some color to our progress in 2009, and discuss the drivers of sales for the first half. On the real estate front, Rob noted that we added 388 stores in 2009 in the United States and internationally. As we have pointed out on prior calls, our new store performance continues to be very favorable, with the portfolio well exceeding our internal return targets. Our U.S. returns approached 45% in the first year, and 95% by the third year of store operation. Based on our continued market share gains, we see that our ability to identify voids in markets allows us to bring the GameStop model to more consumers and gain market share from competitors. We estimate that our 2009 U.S. store openings added significant new product market share. We have analyzed the financial contribution of all our stores built during the last three years, and have found that those stores contributed $0.66 per share in earnings in 2009, making this the best possible investment for our shareholders. The return on invested capital in our entire portfolio continues to be well above our cost of capital. Consumers continue to respond to the GameStop ecosystem, we continue to gain share, and our store investments continue to be a productive strategy. As Dan mentioned, we continue to gain share on titles released in January and February, thanks to our unique title launch model. We have expanded our successful go-big strategy to maximize these title launches, with integrated customer exclusives, in-store launch events, public relations, and media buys. We have also planned compelling offers to drive the use of trade currency, and increase our day-one market share on these new title launches. Consumers respond to the unparalleled value offered by the buy-sell-trade ecosystem, and we continue to be the destination of choice for the new game buyer. We have received some questions on DRM and publisher actions to limit resale value of new titles. Through our years in the used business, we have learned that the second-hand user is a value-oriented consumer. The average price of a used Xbox game is $20. So we don't believe that a $10 add-on piece of downloadable content is compelling to a used game buyer. We are encouraging publishers to offer add-on content for new titles at a higher price, and then a lower price option for used games. In fact, publishers can participate in our used business, by offering add-on content for the most popular used titles, creating a win-win situation for publishers, retailers, and consumers. GameStop will also assist in expanding the sales of DLC, as we can market and execute the sale right in our stores to the millions of customers coming through our doors. For the rest of the first half, we see a strong title lineup. We believe we are well positioned to drive high share in new title launches, with solid expectations for God of War III, UFC 2010, Super Mario Galaxy 2, and Lost Planet 2, among other titles. On the handheld front, we expect a strong launch of DSi XL. In hardware, we continue to see tightness of supply, but are working with our console manufacturers to accelerate through our supply chain any inventory that becomes available. In terms of the Sony Move motion controller and Microsoft's Project Natal, we are optimistic about the opportunity for these devices to transform the gaming experience on these consoles. We have seen the gameplay on both technologies, and are working closely with the manufacturers to make sure GameStop will be the destination for both. Title development and product availability for both accessories will be critical for their success. Dan mentioned the implementation of strategies outlined at the BMO Conference in November. As a reminder, GameStop began a strategic review close to 18 months ago, and the resulting investments of that process are beginning to arrive at market in 2010. Our customers and associates are excited about a loyalty program that will be unique for video game retailing, browser game promotions, and the sale of downloadable add-on content in-store. The key point for you to understand about the evolution of our strategy is that it will allow consumers to discover digital gaming through the most powerful element in this business, a knowledgeable, passionate, GameStop associate, with unique knowledge of gaming to provide expert advice to the gaming enthusiast. We have demonstrated in the past that the assisted sales marketing environment in our stores leads to high attachment rates for accessories, magazine subscriptions, strategy guides, and Xbox Live, PlayStation, and Nintendo network point cards. In fact, if you look at our network point cards, digital game downloads, (inaudible) World of Warcraft time cards, we generated $170 million in digital sales in 2009, representing a 55% growth rate over 2008. Digital content will become a seamless add-on sale when it is recommended by your game advisor, and we will eliminate much of the friction that has existed in the digital world. You will also see the arrival of digital kiosks, known as the Interactive Gaming Guide, in over 1700 stores, that will assist our customers and associates in driving digital sales. We will also bring the power of our buy-sell-trade model to these digital sales. In closing, I would like to thank all of our GameStop associates in 17 countries for their passionate commitment to the video game consumer during 2009, and now open it up for questions.
Operator: Thank you. (Operator Instructions). Our first question today comes from Sean McGowan with Needham & Co.
Sean McGowan – Needham & Co.: I have a couple of questions that are pretty quick. Can you talk about the difference between the store openings and then these closings you may have and what are you expecting that number to be, both U.S. and outside the U.S. this year? And then quickly on the buyback, do you expect the current authorization to be completed by the end of the first quarter?
Dan DeMatteo: Rob, do you want to take the second part of the question?
Rob Lloyd: Sure. We do expect the buyback to be completed by the end of the first quarter.
Dan DeMatteo: Do you want to take Paul on the store closing?
Paul Raines: Yes, on the 2008, we had 243 net, 388 –
Dan DeMatteo: 2009.
Paul Raines: I realize that. I want to refresh 145 and closed. On the 2010 plan, typically, we are going to close about 100 stores.
Dan DeMatteo: Yes.
Sean McGowan – Needham & Co.: Okay. So you are talking about the 2010 plan.
Paul Raines: Yes, the 2010 plan will probably be roughly like 2009, where I think we closed 98 stores, it will be in that range.
Sean McGowan – Needham & Co.: So around 300 net?
Paul Raines: Yes.
Sean McGowan – Needham & Co.: All right. Thank you very much.
Operator: Next, we hear from Matt Hickey with Janco Partners.
Matt Hickey – Janco Partners: Thanks guys for taking my questions. In your Q4, your SG&A per store seemed a little higher than we were expecting. Need a little color on that and how you expect that to trend in 2010. And then, seems like March is kind of a critical inflection point for the industry, for the market that is domestically, and it sounds like it is positive to you, do you think it is strong enough that you can see a positive number for the month?
Dan DeMatteo: Rob, you want to take the first question on SG&A?
Rob Lloyd: Sure. The SG&A in Q4, as we mentioned, was a little higher than we had hoped to be as a percentage of sales, because of the deleveraging that comes with negative same-store sales. In 2010, we do expect an increase in SG&A, as I mentioned, to offset the increase that we expect in gross margin, and the reason for that is primarily the investments that we are making in our digital and loyalty strategies.
Dan DeMatteo: And then Tony, you want to take the question on the industry in the month of March?
Tony Bartel: Yes. Definitely based on the strength of the titles, I mean, you obviously know the titles, but we are looking at Battlefield Bad Company, Final Fantasy XIII, Pokemon HeartGold, and God of War III that just launched a couple of days ago, very strong titles off to a very strong start, from our perspective. So we really do believe that there is a very good chance to see positive growth in March and I do agree it is a great inflection point for the industry.
Matt Hickey – Janco Partners: Okay, thanks guys.
Operator: Next, we hear from Anthony Chukumba with BB&T Capital Markets.
Eric Cohen – BB&T Capital Markets: This is Eric Cohen [ph] filling in for Anthony. I just had a question on the used side. Your online is a buy one get one free trade in used, and you just said that the used inventory was now up year over year after you did the 50% extra on trade-ins. I was just wondering if you could clarify that a little.
Dan DeMatteo:
Eric Cohen – BB&T Capital Markets: Thank you.
Operator: Our next question will come from David Magee with Suntrust Robinson Humphrey.
David Magee – Suntrust Robinson Humphrey: Good morning, guys. Just a follow up on that question. So that the used inventory is sort of the driver as to why maybe the used sales were at the kind of a low point in the fourth quarter and why you expect that number to pick up during 2010?
Dan DeMatteo: Yes, used sales are a function of our used inventory, clearly. So yes, we didn't have as much used inventory as we probably wanted going into Q4, that is why we were – and we came out very, very low, and that is why we are working on rebuilding the inventory at this point.
David Magee – Suntrust Robinson Humphrey: How important is the Project Natal to your forecast this year?
Dan DeMatteo: Tony?
Tony Bartel: Currently, Project Natal is not included in our forecast at this point, but after seeing both Project Natal as well as Sony Move, we are very excited about the amount of product that it is going to allow us to sell, not only in terms of the actual peripherals themselves, but also in terms of the software that we anticipate will be launched with that as well as both of them will be hardware sellers. So, there is no doubt that they will meet a major part of our industry by the time that the year is done, and at this point, we have not – we don't have enough information to be able to include them in our forecast, so we have not included them in our forecast.
David Magee – Suntrust Robinson Humphrey: Thank you. And then lastly, why do you think we still see shortages right now on the hardware side? What is driving that?
Dan DeMatteo: Tony, do you want to answer that?
Tony Bartel: I am not exactly sure that I have a total answer, obviously, it is a question that we ask the platform holders. Consequently, I can tell you that we do anticipate that we will be in that situation for the PS3 for another couple of months, unfortunately, because we could sell a lot more hardware than what we have on both that and the Wii platform. We do believe that the Wii will come into stock quicker than the PS3. So we do anticipate that those shortages should have bade some time before the next couple of months. But I don't have clarity as to why there is a shortage, other than obviously, we had unprecedented demand for that in December, and I think we are still scrambling to catch up from the December surge of hardware that occurred.
David Magee – Suntrust Robinson Humphrey: Thank you and good luck.
Dan DeMatteo: Thank you.
Operator: We will move on to Ben Schachter with Broadpoint Amtech.
Ben Schachter – Broadpoint Amtech: Hey, guys. Congratulations on a nice start to the year. I have a few questions. One, when you talk about the loyalty program and the downloadable content in-store, how can we gauge the success of that from the outside, are there any metrics that we can follow or is there anything you are going to be updating us on those? And the second question is, and on the IGGs, are those going to be transaction-enabled, will people actually go up to those guides and actually transact in any way? And then, just a quick question, on the NPB data, is there any change in the accuracy of that data for the industry? Thanks.
Dan DeMatteo: Paul, do you want to take the first questions on the loyalty and the downloadable content?
Paul Raines: Yes, absolutely, Ben. As far as how can you gauge how they are doing, we will piloting in four markets on the loyalty program, so you will be able to actually go to those markets and watch consumers in action and see how they react to the loyalty program. We will also be piloting DLC in 30 stores in the very near future. We can update you on which stores those are. And I think what would be the important thing for you to do is make sure you see how the consumer experience is, because it is going to be very unique on both of those for anybody in retail. As far as updating, we will provide updates as we go forward, as we get more and more information, but I think the big thing for you to see, Ben, is how consumers react and how unique the experience is going to be.
Dan DeMatteo: We see a tremendous opportunity with the downloadable content to encourage software developers and publishers to create DLC, because we will be able to market it. Right now, today, it is very difficult to discover, find, et cetera, add-on content with the tools available. And with our interactive guide and with our store associates, who will be knowledgeable about what is the great add-on content for Call of Duty, et cetera, et cetera, when consumers come up to the counter to purchase the full version of the game, they will be doing what they always do, which is trying add-on to sales. And so, we think we can move the needle significantly. I think, someday in the future, we will be rolling up all of our digital sales and talking about those in total, as they are coming from multiple sources. As we mentioned, they come from the cards that we sell in the store that get used on a digital platform. It also includes digital downloads that come off of our website, gamestop.com. It will be the DLC sales that we will have in the store and it will be income that comes from our Jolt gaming company, as we promote the browser games in the store. So we really see digital revenues coming from four or five different sources and as a matter of fact, we are working on more.
Paul Raines: And as to the Interactive Game Guide and the future plans for that, clearly it was designed with a credit card slot included on it. We currently do not use that. We see it as a opportunity to further assist the customer along with the expertise of our associates, but clearly that – we wouldn't rule that out as a future evolution of that program. And as to NPD, I see nothing in their change of methodology or the accuracy from our perspective – I see nothing taking place there. The only thing I think that they are working on as well as the rest of the industry is just to evolve to understand the DLC as we are and how to make sure that we capture that.
Ben Schachter – Broadpoint Amtech: Great, thanks.
Operator: Next, we hear from Scott Tilghman with Hudson Square Research.
Scott Tilghman – Hudson Square Research: Thanks, good morning. I wanted to touch on two things. First, on the activation codes. I was wondering what the initial publisher reaction has been to the conversations you have had with them and then sort of secondarily to that, if you know offhand what percentage of games actually have an online component that could potentially be affected by the activation codes. And then the second subject matter, on hardware, obviously, you have provided some guidance for this year. There is expectations that Nintendo will have a refresh of their handheld, probably have an HD Wii out next year. Wondering if you are expecting refresh is from Sony and Microsoft as well.
Dan DeMatteo: Okay. Tony, I will leave the first question to you.
Tony Bartel: Yes, I will take the first two questions. In terms of activation codes, in fact, we just had a contingency giveback from Destination PlayStation, we just arrived last night, and obviously, we talked with all of our major publishing partners on this area, and there is a lot of enthusiasm and excitement for GameStop to be selling DLC in their stores. The concern that the publishers have is they provide great content, but like Dan said earlier, their biggest opportunity is to have that discovered. And we believe there is no better way to discover it than to have people who are actively using it assist customers, who want to know about it and sell that in the store. So there is a lot of excitement about that, the relationship with the platform holders and is also very good, and we are making great strides in that. We talked about Microsoft, we believe that the Sony decision will be imminent – is imminent, and we will work with that as well. In terms of the percent of games that offer that, it is relatively small at this point, and in terms of the DLC that has been added on, however, gives us a strong online component that is being added to practically every game and given the opportunity that they see ahead of them. What we heard this week is that most publishers are looking to accelerate the percent of gains that they develop DLC for and we are clearly encouraging that trend, as we believe it is a great augmentation for the gamer.
Dan DeMatteo: And then on the hardware, obviously the Nintendo DSi XL is coming out this month. So, yes, there is a new Nintendo. We have heard the rumors like you have on a Nintendo Wii upgrade early next year, but it is just that, a rumor, we don't have any confirmation on anything there, and we have nothing in our financial plans for anything different, neither price change or new upgrade of either the PS3 and/or the 360. As a matter of fact, I wouldn't expect that I think their total focus is on the new motion detection devices et cetera, so that is where their focus is this year.
Tony Bartel: And based on what we have seen on those, really, practically makes it like a different console of game changers in that regard.
Scott Tilghman – Hudson Square Research: Then, one follow-up, if I may. Certainly, within the CE world, there has been a big push towards 3-D, with 3-D TVs now beginning to hit the retailers. What is your thinking on 3-D as it pertains to gaming over the next 18 months?
Dan DeMatteo: I think – two things again. We just talked to the publishers, and this was obviously a point of discussion with them. I think that as the adoption curve on 3-D TVs accelerates, I think that you will see that accelerate as well, and as a result, since availability and adoption is very low, I don't see that as a huge push in 2010, I do think it will accelerate in 2011. I think the good news is that the consoles will be able to accommodate that without a lot of changes and it does not seem to be a huge expense from a publisher standpoint of view, that. So I think it is an enhanced game play, which we are all for that. I think that we will see that evolve as the adoption curve ramps up on that.
Scott Tilghman – Hudson Square Research: All right, thank you.
Operator: We will move on to Robert Higginbotham with Goldman Sachs.
Robert Higginbotham – Goldman Sachs: Thanks for the question. A couple of things, first, on your industry growth outlook, you had mentioned that you are looking for a flat to plus 2% software growth for the U.S., and then you contrast that with what at least the top two major publishers have talked to, being flat to down at least low single digits. What do you think are the differences in your two outlooks, and you know, essentially why do you have a more favorable one than those two major publishers? Thanks.
Dan DeMatteo: I think that historically, Robert, this has been the case, and that is, they often don't look at gains coming from outside the United States when they look at their – when they do their forecast. And, you know, we look at – Nintendo is going to have some really great games for the Wii this year. We just talked about Final Fantasy that came out. You have Tony UPro, you have some other big games outside of the United States that we have in our forecast that maybe they wouldn't be looking at.
Paul Raines: Actually, there is definitely like you talked about Final Fantasy, Pokemon that we have.
Dan DeMatteo: Pokemon, right. Two of the best games this quarter came from outside the United States.
Paul Raines: And Super Mario Galaxy is going to be coming in, so – there is Naturoid.
Dan DeMatteo: Naturoid will be coming, so there is significant – Super Street Fighter and there are several additional games and you are right, I don't think that – sometimes we can get very U.S.-centric when we look at those forecasts.
Robert Higginbotham – Goldman Sachs: Got it. And one other one if I could, which is to touch on from the economics around the digital revenue sources. So when you look at the add-on content, can you give us – that you will be selling in the stores that is, can you give us a sense of what the average ticket of those items might be, what the margins might be, whether they be similar to your physical media software kind of margins; and also, if you could talk in any way to the economics around the point cards, I think that would be helpful, thanks.
Dan DeMatteo: Tony?
Tony Bartel: I think in terms of the average price points, and today, we know that it is very low, we think that that is part of the reason why we want to get into it. We anticipate that it is going to be around anywhere from $5 to $15 and that will be the average selling price of what we sell. So we think that it will probably average around a $10 price point, especially as we have better and better content. I think as we increase discoverability, I think what you are going to see is that there will be a increase in the sales price of that game as well. In terms of margins, that is something that we haven't gotten all of the details worked out on that, but we would anticipate that it would be similar.
Paul Raines: Robert, this is Paul, and I can add to that. One is, the number we quoted in here about digital revenues just from last year, that is a very global business for us and our ability to launch and market globally will be very meaningful in that space. Number two is, remember that as you build models and as publisher are building models, they have the opportunity to attach DLC to both new and also used titles sold at GameStop. So if you think about the attach rate to the most popular used titles of a $5 to $10 map pack, it could be very meaningful.
Robert Higginbotham – Goldman Sachs: Got it. Very helpful, thank you.
Operator: We will take two more questions. We will hear from Edward Williams with BMO Capital Markets.
Edward Williams – BMO Capital Markets: Good morning. A couple of quick questions for you. First of all, can you let us know what the share base should be for the first quarter, and then also I just wanted to be clear that you are not including Move in your guidance, as well as Natal. And then, if you could comment a little bit about the game download business from the GameStop web site, what sort of growth we are seeing in that or if you can give us some color as to the scale of that. And then, finally, the loyalty program, when does it kickoff in the U.S. and if you can describe, Paul, I guess this would probably be for you, describe how the program has performed in France, as I assume it is going to be based on the Micromania program, or to the extent that it is different from the Micromania program, what sort of the key differences are.
Dan DeMatteo: Thanks, Ed. That was five questions, by the way.
Edward Williams – BMO Capital Markets: It was a, b, c, d, and e.
Dan DeMatteo: All right. Okay. First, Rob, you want to take the share base?
Rob Lloyd: Yes, you should use $155 million.
Dan DeMatteo: Okay, and then Tony, do you want to take the question on the Sony, on the add-on?
Tony Bartel: No, the Move results are not in our forecast, nor is Natal. On the growth in terms of the downloaded games on our web site, that more than doubled this last year. We are seeing that same trend and we are seeing a very healthy trend in our online sales as well.
Dan DeMatteo: And Paul, do you want to take the question on the loyalty?
Paul Raines: Yes, it is a good question, Ed. Loyalty programs. So Micromania has had the MegaCard program for many, many years; it is probably the most successful video game loyalty program in existence. If you look at Micromania, as we did early on, you know, 86% of their transactions have a MegaCard ID associated with them. MegaCard is not only a loyalty program, it becomes a launch device and vehicle, it becomes a marketing vehicle, even helps you decide where to put new stores as a real estate vehicle. We believe that the loyalty program of Micromania drove some of the highest sales per store in Europe that we see. So we think that it is a very effective program, and that is the base for what we added to our existing loyalty program here at the Edge. How will ours be different? Our program will build heavily on what you see at Micromania today, but it will add some very significant pieces. Our marketing team has done extensive surveys of the kinds of rewards consumers are looking for. If you recall, on one of our previous calls or one of our conferences, we talked about the fact that we did an Internet survey and had to shut down the response engine because there were so much interest in a GameStop loyalty program. Ours will have different rewards, it won't be truly a markdown program that gives you discounts once you reach a certain threshold, it will also have unique rewards like tickets to shows and early entrance to a midnight launch, et cetera. So we think that it builds on what we have from Micromania, but it really adds a lot of sophisticated consumer insights to monetize that GameStop consumer, and it brings unique rewards that only GameStop can bring you. So, we like our plan on that.
Edward Williams – BMO Capital Markets: Okay, and when will you be testing it in those four markets?
Paul Raines: That will be in May.
Dan DeMatteo: In May, we will be in four markets, and we can provide you the details on that. And the name of the game here is to drive share of wallet, you know, because we have got great share, but we are not getting 100% of the heavy consumer spots. So –
Edward Williams – BMO Capital Markets: Okay, great. Thank you very much, guys.
Operator: Our final question will come from Arvind Bhatia with Sterne, Agee.
Arvind Bhatia – Sterne, Agee: Thank you. Just wanted to ask you a question on inventory again. Rob, this might be for you. Should we expect this trend of declining inventory per store to continue into the first and second quarters of this year? And, I guess, will you guys be willing to share – provide some color on the mix of inventory, can you tell us what percentage of your overall inventory coming out of Christmas might have been used? I know you haven't disclosed that in the past, but would you be willing to share that information with us?
Rob Lloyd: Arvind, we are not in a position to share the breakdown of what the inventory is. I will tell you, on your first question, that the inventory levels move around quarter to quarter just based upon where we are in the year and move around based upon what titles are coming, you know, at the beginning of the next quarter. You may recall in the fourth quarter, or at the beginning of the fourth quarter, we had Call of Duty, and as a result, our inventory levels at the end of the third quarter were high, because we had already received the product. So, at this point, we would be hesitant to forecast what inventory levels might be.
Arvind Bhatia – Sterne, Agee: Let me try it another way. On the new product side, can you give us some color on how many weeks of inventory you would typically have on hand, whether it is the hardware or software?
Ron Lloyd: Again, that is going to move around from time to time and quarter to quarter based upon the business and titles and the other things that we expect.
Arvind Bhatia – Sterne, Agee: Okay, great. Thank you guys.
Dan DeMatteo: Okay, well, thank you all for attending this morning. As you can see, we are very excited about growth in 2010, and the implementation of our initiatives that will make us the destination of choice for all game consumers. Thank you very much.
Operator: That does conclude today's conference. Thank you for your participation.